Operator: Good day ladies and gentlemen and welcome to the Quarter Four 2014 Sealed Air Earnings Conference Call. My name is Corrine and I will be your operator for today. At this time all participants are in listen-only mode. We will conduct a question-and-answer session towards the end of the conference. [Operator Instructions]. As a reminder this call is being recorded for recording purposes. And now I would like to hand the call over to Lori Chaitman, Vice President of Investor Relations. Please go ahead Lori.
Lori Chaitman: Thank you and good morning everyone. Before we begin our call today I would like to note that we have provided a slide presentation to help guide our discussion. This presentation can be found on today's webcast and can be downloaded from our IR website at sealedair.com. I would like to remind you that statements made during this call stating management's outlook or predictions for the future are forward-looking statements. These statements are based solely on information that is now available to us. We encourage you to review the information in the section entitled forward-looking statements in our earnings release which applies to this call. Additionally, our future performance may differ due to a number of factors. Many of these factors are listed in our most recent annual report on Form 10-K and as revised and updated on our quarterly reports on Form 10-Q which you can also find on our website at sealedair.com. We also discuss financial measures that do not conform to U.S. GAAP. You may find important information on our use of these measures and the reconciliations to the U.S. GAAP in the financial tables that we have included in our earnings release. Please note that we will end the call by 9:30 today. Now I will turn the call over to Jerome Peribere, our President and CEO. Jerome?
Jerome Peribere: Thank you, Lori and good morning everyone. I am very pleased to report that 2014 was a very strong year for Sealed Air. We exceeded our financial objectives in the fourth quarter and for the full year. We delivered 8% adjusted EBITDA growth in 2014 and expanded margins by 90 basis points despite currency headwinds. We had favorable price mix in every region and in every division in the quarter and for the full year. We improved the health of our balance sheet and generated over $600 million in free cash flow. We continued on our innovation path including for example Darfresh entre, Instapak Simple, and a new TASKI XP platform. We also announced the relocation of our headquarters to Charlotte, North Carolina and launched a new website. These are just some of the many successes that we had over the last 12 months and while we are pleased with our 2014 financial results, we still believe that there is significant improvement to be had in terms of top line potential growth and further margin expansion as well as maximizing our free cash flow generation. But before we review our fourth quarter and year-end results, I want to share some insights on how we are approaching 2015. Based on foreign exchange rates today, we are assuming unfavorable currency translation of approximately $550 million in sales and $80 million on EBITDA in 2015. And while we anticipate as reported sales in 2015 to be down approximately 5% compared to 2014, we expect to grow approximately 2.5% in constant currency and are confident that we will deliver adjusted EBITDA growth and margin expansion. EBITDA growth and margin expansion will be driven not only by favorable input cost but also our continued focus on value adding selling, operational disciplines, and earnings quality improvement efforts. With that said let me turn back on the fourth quarter and year-end results and Carol will provide of course more details on our 2015 outlook. Let's start with 2014 full year performance by region on slide 4. Net sales were up slightly on an as reported basis and up 3% in constant currency. Currency translation had a negative $183 million impact on net sales in 2014. By region, sales in North America increased 3% on a constant currency basis due to 5% growth in Product Care, 2% growth in both Food Care and Diversey Care. In Europe sales improved on constant currency basis, each quarter throughout the year resulting in a modest increase in constant currency sales in 2014 as compared to a slight decline in 2013. Latin America and AMAT were our fastest growing regions in constant currency sales growth in the middle high -- in the high single digits. Constant currency sales in Japan, Australia, and New Zealand were up 2% in 2014. On slide 5, you can see our performance by region for the fourth quarter. Net sales declined 2% on an as reported basis but were up 3% in constant currency. Currency translation had a negative $105 million impact on net sales in the quarter compared to $183 million for the full year. Sales in North America were up 2% led by 5% growth in Product Care and 4% growth in Diversey Care. Food Care sales were essentially unchanged compared to last year. Sales in Europe were down 6% on a reported basis and up 2% in constant currency. To be more specific on our performance in Europe, let me provide you with country trends on a constant currency basis in the quarter as the UK delivered strong growth of 9% with double-digit growth in Food Care and mid single digit growth in Diversey Care and Product Care. Spain, Switzerland, and Holland were flat to slightly up while France, Italy, and Germany declined. The seven countries I just referenced accounted for 21% of our fourth quarters consolidated sales and I also would like to highlight that Russia continued to deliver strong growth with net sales in Q4 increasing 5% on an as reported basis which translate to approximately 40% growth in constant currency. Moving on to Latin America and AMAT, both regions delivered constant currency sales growth in the high single digit in the quarter, and in AMAT, China, and India delivered double digit sales growth and in Latin America, Brazil, and Mexico delivered mid single digit growth. On an as reported basis, AMAT was up approximately 3% and Latin America down 4% in the fourth quarter as a result of significant currency devaluations. Constant currency sales in Japan, Australia, and New Zealand were up slightly in the quarter, growth in Australia was slightly offset by the decline in New Zealand. On slide 6 we learn our price mix volume trends and sales growth on a constant dollar basis by division and by region. As you can see from the slides, we had constant currency sales growth and variable price mix in every division and every region in the fourth quarter and in 2014. Food Care had solid performance despite the challenge in the protein market in North America. Constant currency sales in both Diversey Care and Product Care improved each quarter throughout the year. We also stayed focused on our commitment to shift our business to a more innovative, value added solutions and provide in best in class service to our customers on a global basis. We have made significant progress on this front but there is still plenty of room for improvement as we continue to evolve into a knowledge based company. You will hear more about all of this at our Analyst Day on June 18, in New York City. Turning to our performance by division, I will focus my comments on fourth quarter results on a constant currency basis. On slide 7, Food Care sales increased 3% with approximately 3% in Packaging and 2% in Hygiene. Latin America increased sales by 10% and AMAT increased 2%. Europe had a strong performance with a growth of 5% whereas North America was relatively flat. Developing regions which include Latin America, AMAT, and Eastern European Countries delivered double-digit growth led by strong performance in Argentina, Russia, and China. In Europe Packaging sales increased nearly 9% while Hygiene declined 3%. The Protein market was up slightly in the quarter which helped but we also continued to see increased demand for our value added solutions and new platforms. In Hygiene you know that we continued to prune low margin businesses and while this effort impacted top line, it made a significant contribution to our EBITDA margin performance. Food Care adjusted EBITDA in Europe delivered margin expansions of 300 basis points in 2014. This significant improvement was due to a combination of a low margin pruning and operational improvements in our hygiene business as well as the accelerated adoption of our innovative Packaging portfolio. In North America cattle and hog production were down approximately 8% and 4% respectively compared to last year. Despite these unfavorable market trends in North America, our sales were relatively flat compared to last year due to favorable product mix and better pricing. To reiterate what we said in our last earnings call, we believe that this cycle is close to the bottom and we expect that the rate of decline to moderate over the next 12 months. It is worth noting that on a global basis our three largest market segments fresh red meats, smoked and processed, and poultry delivered sales growth in the quarter and for the full year. Poultry have also been a key growth driver in North America and in Latin America. The strong performance is a direct result of increased demand for our advanced solutions such as Case Ready, Darfresh, Fluids, Grip & Tear, Quick. We introduced Darfresh entre during the fourth quarter and we have already experienced significant traction in both Europe and North America. Darfresh entre is a system solution that reduces food waste into total distribution system while also utilizing less material. I want to highlight the EBITDA margin performance in the fourth quarter for Food Care. Adjusted EBITDA of $172 million or 17.5% of net sales increased 8% compared to last year. This increase was largely a result of pricing discipline, improved mix, and cost synergies. And for the full year, Food Care's net sales of $3.8 billion increased 4% in constant currency, and was essentially unchanged on an as reported basis. Adjusted EBITDA margin in 2014 of 17.5% increased 140 basis points over 2013 which is an outstanding performance. And going forward in 2015 we expect adjusted EBITDA growth and margin expansion, favorable input cost, and our continued focus on innovation and operational discipline are expected to more than offset the forecast of currency headwinds. Slide 8 highlights the result from our Diversey Care division. Diversey Care net sales on constant currency basis were up 4% in the fourth quarter. Volume and price mix were up approximately 2% each. Developing regions increased 11% led by 16% growth in Latin America and 10% growth in AMAT. Our fastest growing countries were China, India, and Brazil and North America increased sales 4% which is our strongest performance in North America over the last 24 months. In Europe sales were essentially unchanged, positive trends in the UK and Switzerland offset by declines in France and Germany. Holland, Italy, and Spain were relatively flat and from an end market perspective on a global basis, our strongest sectors in the quarter were building service contractors and hospitality. We have had a number of solid customer wins that are beginning to ramp up and contribute to our top line results. And during the quarter we introduced amongst others the TASKI XP platform, a standalone -- a stand on, sorry, Floor Care machine that delivers 30% more productivity than the conventional work behind Floor Care machines. As you can see, we delivered adjusted EBITDA of $58 million or 10.9% of net sales in the quarter. We are beginning to reap the benefits of our targeted investments in R&D and sales and marketing but unfavorable currency translation and certain supply chain cost had a negative impact on margins during that fourth quarter. Diversey Care generates nearly 45% of its sales from Europe and its performance in the fourth quarter and for the full year was negatively impacted by currency declines. For the full year Diversey Care's net sales of $2.2 billion increased 3% in constant currency and were essentially unchanged on an as reported basis. But adjusted EBITDA in 2014 of $245 million increased 3% compared to last year. To be noted is that excluding unfavorable currency translation in the fourth quarter and in 2014, Diversey Care's adjusted EBITDA was up 5% and 8% respectively. In 2015 we expect Diversey Care's adjusted EBITDA growth to be moderated due to its high exposure to the euro. Turning to slide 9, Product Care delivered 5% constant currency sales in the fourth quarter, sales growth in the fourth quarter which is at highest growth rate all year. This growth was attributable to favorable price mix of 4% and as we have continued to shift our business towards high performance solutions, including cushioning and packaging systems and continued to focus on improving the quality of our general use business. As we have discussed, growth in e-commerce and third party logistics is increasing demand for our cushioning and packaging systems and we expect these trends to continue going forward. If you recall last quarter, I highlighted the Instapak Simple as one of our key innovations that brings the benefit of cost effective, high performance damage reduction to emerging regions and the e-commerce market. This product was successfully launched from October of last year. North America which accounts for about 60% of our Product Care business increased sales 5%. Europe represents just over 20% of Product Care sales and had its strongest performance of the year with over 3% growth. AMAT also had its strongest performance of the year with 11% sales growth and AMAT and Japan, Australia, and New Zealand combined account for just under 20% of Product Care sales but it is worth highlighting that both China and Japan had double digit growth in the quarter. Latin America accounts for only 4% of Product Care sales and declined 2% due to the rationalization efforts that were completed during the quarter. Adjusted EBITDA increased 6% to $77 million or 79% of net sales. Growth in cushioning and packaging systems along with product and customer rationalization actions in general use had a significant impact on our adjusted EBITDA margins in the fourth quarter and throughout the year. Every quarter in 2014 we delivered both top line and adjusted EBITDA growth. For the full year Product Care’s net sales of $1.7 billion increased 4% in constant currency and 3% on and an as reported basis. Adjusted EBITDA margins increased 10% compared to last year and margins improved 120 basis points to 17.7%. The rates of adjusted EBITDA growth surpassed sales growth throughout the year, underscoring our commitment to securing the appropriate value for our solutions. Going forward in 2015 we expect adjusted EBITDA growth and margin expansion, favorable input cost, and our continuous focus on innovation and operational discipline in general use are expected to more than offset currency headwinds. And now let me pass the call to Carol to review our total sales and EBITDA bridges, cash flow, and outlook for 2015. Carol?
Carol Lowe: Thank you, Jerome. Turning to slide 10 and slide 11, let me walk you through our net sales and adjusted EBITDA performance on a year-over-year basis. Starting with net sales on slide 10, we delivered 2 billion in sales in the fourth quarter and 7.8 billion for the year. On a constant currency basis, sales increased approximately 3% for both periods. Sales growth was attributable to favorable price mix which was 3% or 61 million in the quarter and 3.2% or 249 million for the full year. Volume was essentially unchanged in both periods, unfavorable currency translation with 105 million in the quarter and 183 million for the full year. Approximately 20% of our total sales are exposed to the euro, approximately 4% to the Brazilian real, and then we have approximately 2% exposure to both the Russian ruble and the Turkish lira. Turning to slide 11, for the quarter adjusted EBITDA increased 4% on a year-over-year basis to $282 million or 14.3% of net sales. For the total company, the increase in adjusted EBITDA was due to favorable mix and price cost spread of $48 million. Cost synergies were $22 million in the quarter. Selling, general, and administrative and other expenses increased by $40 million of which $17 million was attributable to an increase in incentive performance based compensation and $14 million was related to salary inflation. Currency translation had a negative $17 million impact on EBITDA in the quarter. Despite currency headwinds we delivered a 100 basis point improvement in adjusted gross profit margin and a 90 basis point improvement in adjusted EBITDA margin compared to the fourth quarter last year. For the full year, adjusted EBITDA increased 8% year-over-year to $1.12 or to $1.12 billion or 14.4% of net sales. The increase in adjusted EBITDA was due to favorable mix and price cost spread of 3.2% or $150 million on essentially flat volume. Cost synergies of $97 million were more than offset by an increase in SG&A and other expenses of $127 million of which $46 million was attributable to an increase in incentive performance based compensation and $54 million was related to salary inflation. For the full year, currency had a negative impact of $30 million on adjusted EBITDA. Yet we delivered 100 basis point improvement in adjusted gross profit margin and a 90 basis point improvement in adjusted EBITDA margin compared to 2013. Adjusted earnings per share for the quarter was $0.59 as compared to $0.39 in the fourth quarter last year. 2014 EPS was $1.86 as compared to $1.39 in 2013, an increase of over 30%. The 2014 tax rate of 22% was lower than our previously provided guidance of 27% largely due to the December enactment of credit extenders as well as favorable earnings mix. In 2013 our tax rate was 21%. During the fourth quarter 2014 we repurchased approximately 1.4 million shares for approximately $50 million at an average price of $36 per share. For the full year, we repurchased approximately 5.4 million shares for $184 million at an average price of $34 per share. This includes approximately 3.9 million shares purchased from the WRG Asbestos Personal Injury Trust in the second quarter of 2014. Since the beginning of this year 2015, we have repurchased approximately 498,000 shares for $21 million at an average price of $41 per share. We will continue to be active in the market and have the capacity to buy an additional $69 million in shares through the end of 2015. We continue to evaluate alternatives that will enable us to increase returns to our shareholders and maintain our target leverage of 3.5 to 4 times. Now turning to slide 12, free cash flow was a force of $612 million in 2014 excluding the Grace settlement. This compares favorably to a source of 509 million in 2013 due to higher earnings and an improvement in operating working capital management. Operating working capital as a percent of net sales improved from 17% at the end of 2013 compared to 14% at the end of 2014. The company focuses its management of operating working capital on a 13 month average target. For the 13 month period ending December 31, 2014, the average for operating working capital as a percent of net sales was 17%. This represents 200 basis point improvement compared to 2013. CAPEX was $154 million and cash restructuring cost were $108 million in 2014. Cash payments related to SARs were $21 million as compared with 46 million in the prior year. Cash interest payments in 2014 excluding the settlement were $293 million compared to $290 million in 2013. Turning to slide 13, in December 2014 we issued $425 million for 4 and 78 senior notes due 2022 and $425 million, 5 and 8 senior notes due 2024. Net proceeds from the offerings were used to repurchase the 750 million 8 and 8 senior notes. In July, we amended and restated our senior secured credit facilities. Altogether, these transactions reduced our annualized interest expense by approximately 30 million, provide extended maturities, and increased covenant flexibility. Turning to slide 14, our outlook for 2015 is presented. We expect net sales to be approximately 7.4 billion, a decline of approximately 5% on a reported basis but an increase of approximately 2.5% in constant currency. As Jerome mentioned earlier, we estimate an unfavorable impact of approximately 515 million on sales from foreign currency translation. Adjusted earnings per share is expected to be in the range of $2.08 to $2.18 as compared to 2014 adjusted EPS of $1.86. We anticipate our tax rate to be approximately 25% in 2015. Adjusted EBITDA is anticipated to be in the range of 1.15 billion to 1.18 billion or approximately 3% to 5.5% growth rate on a reported basis. Currency is estimated to have a negative impact on adjusted EBITDA of approximately 80 million. We are confident that we can achieve the level of EBITDA presented as we continue to focus on our disciplines to improve the quality of earnings and benefit from favorable input cost. Additionally, we expect approximately 50 million in cost synergies most of which will come from the earnings quality and improvement restructuring program. In late December our Board approved a new restructuring program, the Fusion Program which will consist of projects across our three divisions as well as functional support. This program is expected to generate savings of approximately 80 million to 85 million by the end of 2018. We do not expect to realize any savings from this program until early 2016. The cost of the Fusion Program is expected to be approximately $275 million to $285 million of which the net cash outflow is expected to be in the range of $210 million to $220 million. We anticipate the proceeds from asset sales and state incentives to be approximately $65 million. Our guidance for free cash flow is approximately $600 million for 2015 which excludes the tax refund related to the Grace settlement of approximately $245 million. Our outlook for free cash flow is derived from higher earnings, improvements in working capital and lower cash interest payments offset by higher restructuring cash cost and capital expenditures as compared to 2014. Cash restructuring cost excluding restructuring CAPEX are expected to be $120 million. This $120 million consists of approximately $50 million from previously announced restructuring programs and approximately $70 million from the new Fusion Program. Capital expenditures are expected to be $180 million which includes approximately $45 million of CAPEX related to restructuring activities. In 2014 CAPEX was a $154 million of which approximately $25 million was related to restructuring. The year-over-year increase in CAPEX for 2015 as compared to 2014 excluding the restructuring activities I just mentioned is associated with target growth projects for Food Care, Product Care, and Diversey Care and R&D pilot plant and the second phase of our ERP implementation. Cash interest payments are expected to be $255 million and cash taxes are expected to be $110 million. Before I open the call to questions I would to like to remind you that our first quarter earnings call is tentatively scheduled for Thursday, April the 28th at 8:30 AM and Ken Chrisman, President of our Product Care Division will be joining us for that discussion. We are also hosting our Analyst Day on Thursday, June the 18th in New York City as previously mentioned. I look forward to speaking with you again in the near future. With that operator can you please open the call for questions. 
Operator: Thank you. [Operator Instructions]. Your first question comes from the line of Ghansham Panjabi of Baird. 
Ghansham Panjabi: Hey, guys good morning. 
Jerome Peribere: Good morning Ghansham.
Carol Lowe: Good morning. 
Ghansham Panjabi: Good morning sir, just first off could you just give us a sense as to what the volume outlook by an operating segment is for 2015 as it relates to your guidance and I guess that’s related, your guidance is for 2.5% constant currency growth given where resin and kind of what it’s doing right now and some of your pass through in your contracts, is it fair to expect a negative price mix bios partially portfolio for the year? Thanks. 
Jerome Peribere: Good question Ghansham. So our volume for 2015 is going to be at about 1.5% or so. And this compares with zero volume growth that we had in 2014 and about slightly higher than 1% in 2013. We are going to see volume growth in the three divisions, led by Diversey Care and Product Care and also some in Food Care. So, the story of price mix is going to be somewhat different than the one of 2014 because obviously the resin prices have been and are coming down and as a result of that it is not so much price which is going to be important into 2015 but just margin and margin expansion. And we do believe that we are going to be having margin expansion from all kind of things. Number one, we need to remember that we are in a recovery mode. We have lost a lot of pricing over the past few years and we need to rehabilitate pricing. This is true for what I would call the commodity parts of our portfolio specifically in Product Care and in Food Care. In Product Care we still have a whole segment which is we call the general use which I would tend to call the more commoditized type of product lines and those were as they have been doing better in 2014, they are far from being at an acceptable level. So, we are going to be holding very firm and we are holding very firm on our pricing. We will only respond to competitive aggression and that's all we are going to do. On Food Care, we do have some regional weaknesses in some product lines and that is what we are going to be addressing on pricing. Obviously currency translation is hurting and as they all continue to go down because the dollar is revaluating regularly amongst almost all currencies. We are in need to adjust our pricing. 
Lori Chaitman: Operator next question please. 
Operator: Thank you. Your next question comes from John McNulty of Credit Suisse. Go ahead please. 
John McNulty: Hey, good morning and thanks for taking my question. With regard to resin prices having come off, have you started to see any of your customers potentially upgrade their products at this point. I know there was a lot of kind of down shifting of products that they were looking at when oil prices and resin ran up. So have you seen the reverse of that yet, and is it something you are expecting as you look into 2015?
Jerome Peribere: Good morning John, I can't precisely answer your question other than make the following comments. We are working very hard at addressing the customer needs depending on the segment they want to touch. So, some -- you take Food Care as an example, some customers want more shelf life and as they want more shelf life, they need to work great in the quality of the products. Some others want portion size with potentially less shelf life but improving compared to what is on the shelf today. This is a real strong trend right now and so on. So, what we have in Sealed Air now is a whole commercial organization absolutely obsessed with understanding and satisfying customer needs. So it is going to really be on a case by case basis and more than a general approach which by the way I haven’t been told that this is the case, in terms of grading generally speaking the packaging. 
Lori Chaitman: Operator next question please. 
Operator: Thank you. Your next question comes from George Staphos of Bank of America. Go ahead please. 
George Staphos: Thanks everyone, good morning. Thanks for all the details and taking my question. Congratulations on the year. I guess maybe related to what Ghansham was getting at, if I take the midpoint of your range for 2015 from a margin standpoint, it is up roughly about 130 basis points if I did my math correctly versus 2014 despite the foreign exchange headwinds. So Jerome and Carol, as we think about how you have confidence in that goal which you said you did is most of the progress towards that going to come from mix and further value selling or will more of it come from productivity or other buckets and within that how would we think about the mixture across the three segments? And the last thing is, sounds like Diversey will have a tough time growing this year because of FX, would you confirm that or add color, thank you and good luck in the quarter?
Jerome Peribere: Thanks George, good to talk to you. What the big hitter, the big hitter in 2015 is obviously that we’re going to have more than half a billion dollars of currency translation. Just imagine, just go back one second to the fourth quarter and imagine us publishing a constant currency EBITDA number of about $300 million in the fourth quarter which is what you would get if you add the $280 million and the $17 million of EBITDA currency translation loss. So we would have all celebrated an extraordinary quarter. I can assure you that we would have just blown away our numbers on a constant currency basis for 2015. But life is what it is and we have felt what’s coming actually very early in September actually and we have started very early to take measures hence our Fusion project. To come to the point, $550 million and more possibly of foreign currency translation equally balanced by volume about $100 million and price mix. So that’s the way we are seeing it. We are going to stay very firm in prices first of all because resin is not the only component of our cost. It is only a part of it. We have -- we are a highly serviced company. As a result of that we have a lot of manpower, we have 25,000 employees or 24,000 employees in this company, and therefore you remember my comment of two years ago about the salary match increase year-on-year. So this is a big part of the cost. And we have conversion cost, etc. Coming on to Diversey Care well by definition with 45% of our sales in Europe we are exposed to currency and the translation that I just talked about. And therefore we are anticipating a slight improvement in our profitability in dollar basis. Having said that let me remind you that we are very clearly on the right track as proven in 2013. EBITDA improvement and as proven in our 2014 EBITDA growth as we have in constant currency, we have grown about 8%. So we are making wins in the field, it happens in the field but we are very focused on margin improvement in that business which is the thing which is going to last overtime no matter what currency is doing. 
Carol Lowe: And George I’ll just add just to remind everyone we highlighted the 80 million EBITDA foreign exchange expected negative hit year-over-year in our 2015 guidance. In addition for a couple of years now we have talked very publicly that we have approximately around 60 million in annual inflationary cost related to wages benefits. So if take those two as cost increases to go from the 1.18 billion to the guidance we’ve provided for EBITDA for 2015, that tells you and then you take the 50 million positive for cost synergies, you can do the math and see what’s remaining and that it’s all coming. A lot of good benefit from mix and price cost spread as well as the volume growth that Jerome highlighted for both benefitting the company and again staying firm on our good practices and policies and the cultural changes that we’re making. Also I’ll just mention real quickly back to John’s question, because of the great advances of technology I got an update from our President of our Product Care Division to answer about the quality of the products and he -- if not meaningfully up but we are starting to see a shift towards some of our core view products for e-commerce which is a much higher quality product as well as our inflatable bubble which is also higher quality than some of our general use products. So we are starting to see a little bit of that trend but it is still very minor at this point. 
George Staphos: Thank you, Carol. 
Lori Chaitman: Operator next question please. 
Operator: Thank you. Your next question comes from Scott Gaffner of Barclays. Please proceed. 
Scott Gaffner: Thanks, good morning. Just wanted to look backwards and look forwards around your pricing initiatives. I mean if I look back to 2014 maybe even over the last 18 months a lot of your pricing initiatives look like they came on the back of higher resin, maybe that made it a little bit easier for you, maybe it made it made it more difficult, but can you talk about what the decline in resin means as far as pricing initiatives going forward and can you also talk about what sort of benefits if you were to maintain pricing you would get from lower resin, thanks?
Jerome Peribere: So, I am not Scott going to go too much in details there for obvious competitive reasons. But what we have embarked into is a whole program of margin restoration. I said some time ago that we were not having reinvestment economics and we did need -- we do need to have that. This is the very basis of proper business management. So we have gotten pricing as a result of resins and we have gotten other type of pricings at the very same time. In the future, we have in Europe for example last year, sorry before coming to the future, we had last year pricing power also in Europe despite a very poor environment. So, this company is in transformation and it is on the way of doing two things in a very disciplined way. The first one is good business management. You saw it in terms of margin expansion, we need margin expansion because we have -- because they have dramatically deteriorated in the past. And we are going to continue to be doing this. We are going to have mixed improvement because by definition we are not putting the resources on our lower margin products, we are shifting them towards higher margin products. And we are doing working capital management. You have seen what we have done in just one year, we moved 300 basis points from 14% of operating working capital -- from 17% operating working capital to 14%. And this is -- and we are continuing to do this kind of things. And at the very same time we have started to reinvent this company and this company is not going to be just about more plastic. It is going to be about the cutting edge of the technologies which will enable our customers to win. That is what we are going towards. That should give them higher margins and give us higher margins. 
Lori Chaitman: Operator next question please. 
Operator: Thank you. The next question comes from Chris Manuel of Wells Fargo. Please proceed. 
Unidentified Analyst : Good morning, this is actually Gayle Barn [ph] for Chris. Congratulations on the year. Just had a question about the state of economy across the world with the U.S. kind of emerging as being holding more strong and some of the developing regions being a little bit fragile and how you expect to sort of -- what regions and/or product lines you expect to get the 1.5% volume growth that you talked about?
Jerome Peribere: Okay, well Chris good question and good morning. Well the buzz word which is not mine which is everybody's is volatility. I got it all wrong in fourth quarter when in October I said that we were anticipating, we were already into the fourth quarter and we were anticipating $10 million negative EBITDA as a result of currency translation. We got $17 million, almost double. During the fourth quarter our average exchange rate for the euro was 126 and the real at 247, the ruble at 43. Guess what, the ruble is at 66 today, the euro is at 113, the Brazilian real is at 281. So more volatile than that, I don’t know. So which is why I am stopping making projections on resin prices for example, on currencies, etc and our exchange rates for 2015 are at around those levels that we have today although possibly just a little bit more conservative. So where is it going to grow, we have –- we are expecting innovation to pull us and actually in Food Care the innovation has already pulled us. Pull our results and our product mix which is going really well. We are going to see a deceleration of the beef cycle, negative beef cycle so things should be improving a little bit in volume in North America. And we should see the hogs business have a little bit of growth in North America which would be all good. Real at 280 is good for meat exports and for local profitability. So we should benefit a little bit about this. In Diversey Care we are continuing to eliminate low margin businesses and at the same time we have had a few solid customer wins and in hospitality we’re going to have even more on healthcare, in the kitchen and on TASKI. So I am positive there, we should have some volume growth there. We continue to grow volume and nicely in emerging countries. In Latin America, in TASKI we have been hurt by very fast devaluations but we’re up in reported dollars in AMAT and we are growing very, very nicely in quite a few countries down there. And in Product Care we have -- Carol talked about our core view line. We have some specialty packaging there which are doing very well and our systems which are doing extremely well also. And that’s where we are planning to shift. You have seen that we had growth in Product Care in Europe which didn’t have for a while. We think we have a lot of momentum in North America and intend to do that. And by the way also in Asia on our Product Care division we are extremely optimistic that we’re going to be succeeding there. 
Lori Chaitman: Operator next question please?
Operator: Thank you. The next question comes from Chip Dillon of Vertical Research. Please proceed.
Chip Dillon: Yes, good morning and congratulations on another great year. When you look at the working capital squeeze, Carol you mentioned you got it down to 17% of sales. Could you give us and about 90 million or so I guess last year what should we look for in 2015 and 2016 and then just quickly if you could give us a breakdown of the 97 million in cost saves last year, how that was split between the EQIP Program and the one from back in 2011 I guess it was called the IOP Program?
Carol Lowe: Alright, so good morning Chip. As we think about the working capital, it contributed approximately $168 million for 2014 for our free cash flow and for 2013, it was about $145 million. And as we look towards 2015, if you go kind of looking at the $600 million that we guided we would anticipate if you do the math taking into account I gave you CAPEX and restructuring, payments, interest payments you’re going to come right somewhere around 110 million expected benefit from working capital management. We still are slightly over a 100 million and pass due receivables. So we expect some of that benefit to come from continuing to decrease our past dues. If you recall we finished 2012 at over 200 million so we’ve made great progress but there is still some additional progress that we can make. Also our management of inventory, we feel like there are continuing opportunities as we make our processes more robust around our sales and operations planning as well as SKU optimization. We also had some investments in inventory as we started to implement some of our new distribution programs that our supply chain team is working on. So, as we make those transitions, at times we carry slightly higher levels of inventory and then we right size those. So, we did have that right at year end. So, we do have opportunities in both. Our payables, we have made great progress in increasing our days table outstanding and we will continue to focus on that as well where it makes sense and where we have large dollar spend and large volume. In terms of the $97 million in savings that we provided for the improvement from 2013 to 2014 for cost synergies most of that, a large portion of that came from our EQIP Program. We still had a little bit trailing from our integration and optimization program, but the larger portion was from the EQIP Program. And as we looked to 2015, as we noted almost all of that 50 million in cost synergies will come from the EQIP Program as well with the new Fusion Program starting to give us the positive return at the beginning as we move into 2016. The new program has an internal rate of return in excess of 40% so we are really excited about what that's going to bring to our cost structure as well.
Lori Chaitman: Operator next question please.
Operator: Thank you. The next question comes from the line of Philip NG of Jefferies. Please proceed.
Alex Hutter: Good morning, this is Alex Hutter on for Phil, thanks for taking my questions and congratulations on the quarter. One of your public competitors in Food appears to be taking a more proactive stance on price, which was encouraging but can you provide some color on competitive activity in Food Care and Product Care and based on those dynamics do you expect to or have you seen any players ceding price to gain share with resin prices falling?
Jerome Peribere: There are some skirmishes in the field here and there by definition and -- but I would say nothing notable. Every company pursues its own strategy. We are not going to lose business that we don’t want to lose. But we are the leader therefore we have to be conservative on price reduction. And as I said before, our strategy is to recoup the margins that we have lost in the past and that's what we really want to do?
Lori Chaitman: Operator next question please. 
Operator: Thank you. Your next question comes from the line of Rosemarie Morbelli of Gabelli Company. Please proceed. 
Rosemarie Morbelli: Thank you. Good morning and congratulations. 
Carol Lowe: Good morning Rosemarie. 
Jerome Peribere: Thank you. 
Rosemarie Morbelli: I was wondering Jerome you said something to the effect that rebuilds were above your expectations for both the quarter and the year. And I was wondering if you could give us a little more details on the areas where you were surprised on the positive side and whether there were some negative surprise which were more than offset by the positive ones?
Jerome Peribere: Okay, Rosemarie good question again. The -- what surprised is not so much the results but -- because the result -- because the financials are the consequence of what we are doing. What surprises me is the speed at which from Q3 to Q4 of 2013 this organization has shifted its mind. And this organization is now a courageous organization. We have our people who believe, our people who see how we are winning and how we can continue to win. Have taken the responsibility of the price leadership and of the product mix leadership and of the need for innovation and therefore things are moving at a pace which is very different than from the past. And I could see that. As I said, sometimes late Q3, early Q4 of last year and therefore you now are seeing the results that we had. We started in the first quarter but in fact it amplified throughout the year. You should, as we have said during the prepared remarks, our Product Care and Diversey Care business had constant currency sales improving every single quarter. In Q1 our Diversey Care business improved in constant currency by 1.2% in Q1 of 2014. It went up and up and up and in the fourth quarter of 2014 it went up by 4%. And this is obviously something extremely important. And the same with our Product Care which started the year at 2.6% and finished the year at 4.6%. And this is extremely important because there is a change in pace, there is more courage in the organization, etc. Doesn’t mean that it’s going to continue to go crescendo like this because we have as I said before a very volatile environment and so on. So we are not going to take currency as an excuse, we have to do what we have to do. We are going to continue doing and forging ahead through a disciplined approach to our business to improve operationally and to start building and we have started that to start building the future. So as to what didn’t go that well, I would say I am not going to contradict myself with what I said before because I have been really positively surprised as to how we are gaining -- how we are making this cultural change and stuff. So the negative are uncontrollable factors and I don’t control currency and I don’t control the overall economy. Having said that we were not expecting the economy to improve much better, so this is going to be considered as a plus if it does come. It has been here since the last two to three years and we believe that in 2015 it is going to continue to be here. 
Lori Chaitman: Operator next question please?
Operator: Thank you. Your next question comes from the line of Anthony Pettinari from Citi. Please proceed.
Lori Chaitman: Operator?
Operator: Hello. Can I just confirm it Anthony Pettinari or you want me to? I am assuming they don’t wish to take the call, shall I forward the next call through to you. 
Lori Chaitman: Yes, let’s take the last question please. 
Operator: Thank you. The last question comes from Al Kabili of Macquarie. Please proceed. 
Al Kabili: Hi, thanks. Good morning. I guess Jerome you mentioned that this year is much more about margin than it is about price given the situation with the resin outlook, that said in your outlook how do you think of 2015 as far as, are we getting an outsized resin benefit this year that then makes it more difficult to expand dollar margins next year or do you very much see 2015 as very much part of the normal progression in the EBITDA margin expansion and so you would still look to continue to grow margins in 2016 as well? Thanks. 
Jerome Peribere: So, we are ahead of our schedule. You remember that when we had our Investor Day in September of 2013, we have given guidance with regards to our EBITDA margins. We are going to be there and more in 2015. So we are ahead of our schedule. The way it’s going to happen is going to slightly different temporarily but we are continuing to have the same kind of approach to what we wanted to have. But that’s important to understand. I am going to stop making predictions on the resins because in Q4 I was wrong and it is soft in Q1. There are wide discrepancies depending on the parts of the world which will have to be corrected. And next to that you have -- it can turn upside down very quickly depending on the demand in Asia, depending on a few factors here and there you could see resin prices move backup and therefore we have to be very careful with any price concession because as we all know it is much easier to go down then to go up. And these things can turnaround very, very quickly. We are resolutely on our way to 20% EBITDA in the mid to long-term. I really believe that with our Get Fit initiatives and with our Change the Game initiatives which are going to start to bear fruit in a meaningful way in 2016, 2017 and from there, we are going to have a portfolio which is going to be fairly different with new and differentiated technologies which should give our customers a differential advantage and improved profitability for ourselves too. 
A - Lori Chaitman: Great, thank you operator. 